Operator: Good day, ladies and gentlemen and welcome to Second Quarter 2013 Albemarle Corporation Earnings Conference Call. My name is Sandra, and I'll be your operator today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I'd now like to turn the call over to Mr. Lorin Crenshaw, Director of Investor Relations and Communications. Please proceed, sir.
Lorin Crenshaw: Thank you, Sandra and welcome everyone to Albemarle's Second Quarter 2013 Earnings Conference Call. Our earnings were released after the close of the market yesterday and you'll find our press release, earnings presentation and non-GAAP reconciliations posted on our website under the Investors section at albemarle.com. Joining me on the call today are Luke Kissam, Chief Executive Officer; and Scott Tozier, Chief Financial Officer. As a reminder, some of the statements made during this conference call about the future performance of the company may constitute forward-looking statements within the meaning of federal securities laws. Please note the cautionary language about our forward-looking statements contained in our press release. That same language applies to this call. Please note that our comments today regarding our financial results exclude all nonoperating or special items and reconciliations related to any non-GAAP financial measures discussed. And those reconciliations may be found in our press release or earnings presentation, which are posted on our website. With that, I'll turn the call over to Luke.
Luther C. Kissam: Thanks, Lorin, and good morning, everyone. Scott and I appreciate the opportunity to share Albemarle's second quarter results and our current views on the rest of 2013 with you today. As usual, at the end of our prepared remarks, we'll open it up for your questions. On our last call, we expressed the view that 2013 profitability would be back-end loaded and that the second quarter results would be very similar to the first. That is exactly what we saw in the second quarter. We ended the quarter with net income of $82 million or $0.97 per share, net sales of $634 million and EBITDA of $137 million, all consistent with first quarter results and in line with our expectations. From a segment standpoint in the quarter, Polymer closed stronger than we expected, Fine Chemistry performed roughly as expected and Catalysts was a little weaker. Scott will go into more detail shortly about each segment. But at a high level, Refinery Catalysts results continue to be impacted by lower metal pass-throughs, customer turnarounds and less favorable mix. In Performance Catalyst Solutions, there were 3 major factors impacting performance. The full cost of our capital expansions hit the PL during the startup and customer qualification phase without the associated revenue. European polymer catalysts customers seem to be trading down to less performance-based catalysts due to the economy. Finally, we sacrificed some share and price at some key accounts to ensure longer-term commitments. In Fine Chemistry, Clear Brine volumes in the second quarter, while strong, did not match the first quarter pace, but increased sales and custom services offset that slight drop off. In polymers, volumes were better than expected, but pricing continued to be under pressure in certain countries [ph]. Demand in electronics, enclosures, commercial construction and infrastructure, particularly in Europe, remained weak. Overall, the performance of our businesses during the quarter was generally consistent with the direction of global economic environment. 60% of our sales are outside the U.S. and the sluggishness in emerging economies, particularly China, impacted demand for products. Demand in Europe remained well below historic norms. Inventory levels and portions of the electronic segment caused customers to remain cautious. Despite this challenging environment, on a year-to-date basis, we have delivered solid EBITDA margins of 22%. Year-to-date cash from operations has totaled $179 million, in line with last year and on track for another year of excellent performance on that basis. The second quarter also saw us being more aggressive on our share buyback program. During the quarter, we executed an accelerated share repurchase program with JPMorgan, under which we will purchase $450 million in stock, which should bring our aggregate 2013 repurchases to roughly 10% of our shares outstanding. We funded this program with a combination of cash on hand and borrowing, and put in place a commercial paper program, under which borrowing costs have recently been on the order of 30 to 40 basis points. Notably, as is normal with accelerated stock repurchase programs, aggregate short interest in our stock rose sharply during the quarter. In turn, short interest has drifted down steadily since our initial announcement, and we would expect it to return to more normal levels by year end at the end of the accelerated share repurchase contract. These actions, combined with the previously announced 20% increase in our dividend, reinforced our commitment to returning capital to our shareholders. As we've previously discussed, from a capital structure standpoint, we expect to maintain leverage of around 1.0x net debt to EBITDA in the future and to continue looking for opportunity to increase our annual dividend and return capital to shareholders while still funding organic and strategic growth. Now I'd like to share a few highlights related to our major capital projects, which met several key milestones during the quarter. With respect to bromine, after successfully commissioning the first phase of its expansion project in the first quarter, which doubled elemental bromine capacity, Jordan Bromine Company commissioned the expansion of its HBr and cleared completion fluids capacity in the second quarter. We didn't see any commercial sales from that expanding capacity in the second quarter, and wouldn't expect much in the third, as we worked through some raw material and startup issues, which are typical for a project such as this. This quarter, we also announced the startup of our TEA facility in Saudi Arabia in conjunction with our joint venture partner, SABIC, with full commercial productions scheduled to begin in the second half of 2013 once customer qualifications are completed. Construction at our Yeosu, South Korea site is complete for our single-site catalyst production facility. And our team recently celebrated the topping off ceremony for the unit under construction, which will produce our PureGrowth line of products for the LED and electronics industry. That unit is expected to be online by the end of the year for qualification runs consistent with our previous reports. The poly plant at Yeosu remains fully booked, as it engages with customers in the region to help them solve their catalyst needs. And we expect the first commercial batch to ship out of our CMU at Yeosu in the third quarter. At our 2011 Investor Day, we outlined our long-term growth expectations in Vision 2015. 3 years into the strategy, the foundation of our business is stronger today than it was at the end of 2010. We've expanded our bromine and catalyst manufacturing footprint in areas of the world close to our customers to focus on markets, which are forecasted for growth. We've continued to manage cost to preserve relatively strong profitability despite tough economic environments, taking decisive actions to address underperforming assets and leverage our strong balance sheet to return substantial capital to shareholders. However, our worldview and global demand expectations have certainly changed. Given slower global growth and less progress than we originally anticipated in expanding into adjacent businesses, it's become clear that we will not attain the Vision 2015 financial targets in that timeframe. The impact of slower global growth on our ability to achieve our goals have been twofold. On the one hand, it has resulted in lower underlying demand than originally anticipated in our key markets. In addition, this lower market demand is resulting in a longer payback period on our major capital investments. The absence of a post-2010 global recovery has been well documented. Growth expectations for advanced and developing economies have fallen considerably since we laid out Vision 2015. This new economic reality and the resulting demand weakness in our key markets has led to increased competitive intensity and has caused us to selectively reduce prices, and in some instances, share in some segments in order to maintain longer-term relationships with key customers. Our major capital projects -- once our major capital projects are fully operational and at 90%-or-so operating rates, we would still expect the associated incremental revenue to be in the range of $250 million to $400 million. However, due to market conditions, the timeframe from startup to 90% operating rates has extended by a couple of years. In short, we invested 12 to 24 months too early. We knew there was a market risk when we made the decision to invest, but decided to go forth as we did, so that we will be prepared to meet the demands of the market and our customers rather than delay investment and risk missing that opportunity. As we have stated previously, we are patient and are prepared to bring capacity on, as needed, in increments to meet market demand. We still believe that we invested in the right markets. Within organometallics, we're now the only market participant with a dual global manufacturing footprint positioning us to capture growth not only in Asia and the Middle East, where petrochemical companies have invested disproportionately over the past 10 to 15 [ph] years, this demand is projected to remain strong. But also in the U.S., where projects where significant new ethylene derivatives production capacity is projected to come online over the next 5 to 6 years. Our bromine expansion further strengthens our position as the world's low-cost bromine producer, balances our bromine production capabilities from a geographic perspective and positions us as 1 of only 2 producers with current capacity to meet any growth to the demand for bromine and bromine derivative. We've also increased our R&D focus on discovering new applications for bromine and bromine derivative products. Our balance sheet remains strong and we continue to generate strong cash flows. As a result, we have the financial wherewithal, if we choose to exercise it, to still achieve the lower end of the Vision 2015 EPS targets through additional stock repurchases. However, growing operating earnings remains at the heart of our strategy and is our primary focus. Overall, we remain determined to position Albemarle as an innovative high-performing company in all economic circumstances. We've invested early in the right markets, enjoyed strong financial flexibility to grow organically or through acquisition, and remain confident in the long-term fundamental driving growth in the markets we serve and in the underlying earnings and cash generation power of our businesses. With that, I'll turn the call over to Scott.
Scott A. Tozier: Thanks, Luke. I'm going to start with a review of our business segments and then turn to the details on our P&L and cash flow. Catalysts reported second quarter net sales of $234 million, up 2% year-over-year, and segment income of $51 million, down 25% year-over-year on segment margins of 22%. A number of unique headwinds continue to impact results that make it challenging to interpret the underlying health of the business without adjusting for them. Excluding the impact of lower metal surcharges and refinery catalysts, startup costs in Performance Catalyst Solutions and above-normal turnarounds in our Heavy Oil Upgrading segment, sales would've been up approximately 12% year-over-year and segment income would've been up 6% year-over-year. Finally, joint venture income came in less than expected due to lower metal surcharges, softness in demand and unfavorable exchange rate impacts, particularly the yen. Within Refinery Catalysts solutions, Heavy Oil Upgrading volumes, which is mostly fluid cracking catalysts, were up double digits year-over-year. And excluding the impact of metal surcharges, segment income was down slightly due to negative customer mix from several large customer turnarounds and lower joint venture income, particularly in Brazil. Barring another large change to metals pricing, this should be the last quarter where metal surcharges cloud the numbers. Clean fuel technologies volumes, which are mostly hydroprocessing catalysts, also rose double digits year-over-year, driving similarly the strong levels of sales and segment income growth. The mix of clean fuel shipments was similar to last year. Performance Catalyst Solutions revenue declined 9% year-over-year, and segment income was down approximately 17%, excluding the impact of higher startup costs. Lower revenue was driven by slower demand for polyolefins in Europe and customer destocking, resulting in lower production rates and therefore polymer catalyst demand. We continue to experience the unfavorable impact of factory startup in the quarter and still expect such cost to amount to a full year drag of -- on the order of $20 million to $25 million. Fine Chemistry reported second quarter net sales of $176 million, down 16% year-over-year, and segment income of $34 million, down 25% on segment margins of 20%. The year-over-year profit decline was mainly driven by a lull in custom deliveries and the expiration of several high-margin contracts that positively impacted the year-ago period. Lower pricing within HBr, elemental bromine and amines are also contributed to lower year-over-year profitability, partially offset by year-over-year growth in clear brine fluid volumes, although clear brine volumes were not as strong as Q1. Also, sequentially, bromine and HBr pricing are holding firm. Polymer Solutions reported second quarter net sales of $224 million, down 9% year-over-year. Segment income of $44 million was down 34% year-over-year on segment margins of 20%. Excluding the impact of exiting our phosphorus flame retardants business, revenue was down 4% year-over-year. Our flame retardants division was responsible for most of the year-over-year decline in segment revenue and profit, mainly attributable to lower pricing in the HBCD, 8010 and minerals product lines. Specifically, within brominated flame retardants, a year ago, we announced 2 consecutive price increases for HBCD amid a unique global supply disruption due to an explosion at a facility that produced CDDT, a key precursor. Since that time, HBCD pricing has come full circle, declining back to levels prior to our announced price increases. The impact of this decline in price on the quarter and year-over-year was in the range of around $15 million. The 8010-related price weakness is more modest, but reflects a continuation of competitive dynamics we expect to continue amid the current extended downturn in TV and PC enclosures-related demand. Within mineral flame retardants, we have not seen any improvement from Q1, as weak European construction and automotive market trends continue to restrain our performance. Finally, Stabilizers and Curatives revenue in segment income were essentially flat year-over-year, as weak curatives results offset growth in antioxidants, which continues to benefit from better volumes related to new customer wins, growing sales outside of China and an improved cost position in a key raw material. Finally, second quarter corporate results were negatively impacted by a reserve taken in the amount of $3.6 million pretax or $0.03 per share, in recognition of a misappropriation of Albemarle funds by a freight bill processing and payment services vendor that recently filed bankruptcy, amid allegations of fraud committed against their customers. The vendor was responsible for auditing Albemarle freight invoices to determine whether the invoices were accurate and in compliance with negotiated freight carrier agreements then paying the freight invoices on behalf of Albemarle using funds provided by us for that purpose. We have filed a lawsuit against the relevant principals and are also pursuing claims against the bank group entity. Now to highlight a few other P&L items for the year. U.S. GAAP reported SG&A expenses were $63 million during the quarter, up 2% year-over-year as a percentage of sales or slightly higher year-over-year at 10%, primarily related to favorable nonoperating pension costs last year. Excluding those nonoperating items, SG&A is actually down 10%, mainly due to lower incentive compensation and other personnel costs. R&D expenses were $22 million for the quarter, up 3% year-over-year, and up 35 basis points as a percentage of revenue to 3.4%. Second quarter free cash flow, defined as cash flow from operations, adding back pension and post-retirement contributions and subtracting capital expenditures was $35 million, up $43 million year-over-year despite lower earnings levels driven by lower working capital and CapEx levels. Our year-to-date free cash flow was up 27%, driven by lower CapEx spending. CapEx was $48 million in the 2013 second quarter and year-to-date has been $103 million, down versus the first half of last year. For the full year, we still expect to spend approximately $175 million, a decline over 2012 spending. Net debt rose sequentially by over $500 million this quarter to $749 million, reflecting the impact of funding the accelerated share repurchase program. As a result, net debt to adjusted EBITDA ended the period at 1.2x, up from 0.4x last quarter and just above the leverage target of 1x adjusted EBITDA and excludes restructuring charges and nonoperating-related pension adjustments. Net working capital is $622 million end of the quarter, 8% higher than year end and at 24% as a percentage of sales is currently above our 20% target for the full year, mainly due to an increase in receivables and inventory levels that we expect to come down in the second half. Excluding nonoperating items, we expect our effective tax rate for the full year to be 22.6%. This is a 200 basis-point reduction from our expected full year rate at the end of the first quarter, driven primarily by the geographic diversity of our income and profitability. Our rate for this quarter was 20.6%, reflecting the need to catch up to the new full year rate. Finally, last quarter, we provided guidance relating to the impact of the significant depreciation of the Japanese yen, which averaged approximately JPY 98 to the dollar in Q2, down 22% year-over-year. This movement impacted the P&L during the second quarter from a translations standpoint by about -- by approximately $5 million or $0.05 per share and by $9 million or $0.08 per share year-to-date. Assuming yen exchange rates remain near current levels for the rest of the year, we can continue to project a full year negative pretax impact of around $22 million or $0.20 per share relative to our expectation heading into the year and estimate that a 1% change in the yen dollar exchange rate would impact earnings by approximately $0.01 per share. With that, I will turn the call back over to Luke to elaborate further on our outlook.
Luther C. Kissam: Thanks, Scott. At this time, I want to take a minute to update you on the prospects for each business segment for the balance of the year. In Fine Chemistry, we're forecasting demand for clear brine fluids to remain strong for the balance of the year. We're encouraged that drilling in the Gulf of Mexico increased sequentially during the second quarter from 46 to 57 average rigs in use, and that the average international offshore rig count is up 6% year-to-date to 321 versus the full year average for 2012. In addition, we expect Fine Chemistry Services to show an increase in profitability in the second half, driven by a combination of new product launches and an increase in the demand forecasted by a number of our key customers. However, the overall step up in the second half profitability in Fine Chemistry Services is now lower than we expected at the time our last call. So while we expect sequential improvement in segment income for Fine Chemistry in each of the next 2 quarters, the increase in demand is not as strong as we previously expected. In Polymer Solutions, there have been no developments in terms of our order book or the leading indicators we monitor that would lead us to a more optimistic view than we shared on our last call. The most positive trend across our order book remains the continued improvement in our brominated polystyrene family of products, which corresponds with the Bishop's Report Connector Confidence Index. That index reached a 2-year high of 69.3 in June, and is up from its 2-year low of 35.1 reached last October, which tracks our increases in volumes in this segment. The most recent IPC book-to-bill ratio showed further improvement of 1.12 in May, the fifth straight month of sequential gains for that rigid printed wiring board indicator. However, absolute shipments remain at just 80% of 2010 volumes and are down year-over-year. The shipment index trend is more in sync with the underlying demand for tetrabrom, that we're observing than the direction of the book-to-bill ratio itself. The most recent forecast from GfK caused for lower full year shipments of TV sets in both developed and developing markets, with all of the growth coming from developing markets where flame retardant usage is typically low. On a positive note, the number of weeks of TV panel inventory declined sequentially during the quarter, but remains 3 to 4 weeks higher than historical averages, a level of excess last seen in early 2008. The ongoing decline in global demand for PCs continued in the quarter, declining 11% year-over-year, according to Gartner. This trend would appear to reflect some combination of an expansion in the duration of the PC replacement cycle and displacement of PCs by tablets. Finally, we've not seen improvement in the European commercial construction or wire and cable market, as both public and private investment for a new project remains at low levels with ongoing debt problems at many countries continuing to constrain spending, limiting the near-term growth prospects for HBCD and mineral flame retardants. Overall, our interpretation of the order book patterns and leading indicators suggest that Polymer Solutions segment income in the second half is likely to be similar to the first half levels, with the third quarter being somewhat higher than the fourth. Within Catalysts, the second half outlook for Refinery Catalysts solutions calls for fewer turnarounds of our FCC customers, driving better Heavy Oil Upgrading results. We have gotten word of new unit project startup delays that will push back certain large FCC orders from the fourth quarter to 2014. The second half also calls for a large number of Clean Fuels Technology customer wins. However, some CFT shipments scheduled for the second quarter slipped to third quarter, and even more third quarter orders are slipping to the fourth. It isn't a question of whether we get these orders. We've got them. But there is a question of when the customer will instruct us to ship the order. We are forecasting that CFT will be considerably more profitable in the fourth than the third quarter due to current expectations on the timing of these shipments. In short, in Refinery Catalysts Solution, it all comes down to the timing of shipments. It's the nature of this business. And I must caution you, that in both product groups, there is potential for further slippage. The timing of the shipments, while meaningful in the context of quarterly earnings, certainly doesn't impact the overall strength of our Refinery Catalyst franchise. Our second half expectations for Performance Catalyst Solutions have also declined, driven by weaker European polymer catalyst demand and competitive actions. We've responded accordingly to maintain our market leadership, but it yielded some on price and share at some key accounts in exchange for long-term commitments. Those actions are appropriate long term, but could have a negative short-term impact. Catalysts results for the rest of 2013 really depend on the timing of the CFT shipments for the rest of the year. Based on current information, Catalysts segment's income should be down year-over-year, with the fourth quarter expected to be substantially more profitable than the third. We currently expect total company results in the third quarter to be slightly higher than the second quarter, with the fourth quarter expected to be sequentially stronger. For the full year, we are now projecting EPS to decline in the range of 10% to 15% from 2012, including the impact of our share repurchase program. The critical factor comes down to the timing of catalyst shipments currently scheduled for December. In closing, we certainly have a number of headwinds to continue to manage in the near term, but we remain confident in the long-term fundamental trends driving our businesses and the underlying earnings and cash generation power of our company going forward. With that, I'll turn the call back over to Lorin for questions and answers.
Lorin Crenshaw: Operator, we're ready to open the lines for Q&A. [Operator Instructions]
Operator: [Operator Instructions] And your first question comes from Robert Koort from Goldman Sachs.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: Luke, could you explain a little bit more and talk maybe if there's any precedent on this downgrading of your Chemical Catalysts customers? I would suspect, if times are lean, they would need to get the best deal and efficiency possible. So can you just give us a historical basis for these guys going to cheaper materials or cheaper catalysts?
Luther C. Kissam: Yes. And that was specifically in Europe. So I think what the issue has been, as it seems to us, is that there hasn't been the demand for our customers' products in the markets which they're selling. So they're seeing a slowdown. So they don't need that efficiency, Bob, to get higher throughput and efficiencies in their production process. So they seem to be going to a -- at least in the second quarter, seem to be going to a lower performance catalyst. But we've already seen in July some of those orders picking up, so I think it will return to norm in due course.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: Okay. And then I appreciate the update you gave us and the specificity around the guidance as well as your Vision 2015. Thinking about just the back of the envelope, though it would suggest to get to that low end that you said was still possible to share repurchase that you'd see 50% growth between '13 and '15. So I just want to make sure I did the math right, but it seems awfully sensational. So...
Luther C. Kissam: Yes, Bob, I hope that's the case. But I don't think you did the math right. What, if you'll look at what I'm trying -- the point I'm trying to make is, we've previously stated that we're going to try to maintain a level of roughly one-time net debt to EBITDA. Now if we were that -- that would assume you can buy back shares, $350 million, $400 million a year. My CFO's kind of shaking his head. But something kind of in that range, that doesn't prohibit us from the possibility of leveraging up further if we decide that's the right point. So I think that's what you got to look to. It's more the amount of leverage we would be willing to put on, on the business in order to acquire those shares. We'll still have fundamental underlying growth, but it's not going to be anywhere near the kind of number that you just drew out.
Robert A. Koort - Goldman Sachs Group Inc., Research Division: And just to clarify, if I could, Luke. But you said if you were to lever up, maybe you could get to that, 6 75 low end?
Luther C. Kissam: Yes, that's right.
Operator: We have another question for you, and this one is from P.J. Juvekar from Citi.
P. J. Juvekar - Citigroup Inc, Research Division: When you lowered expectations relating to your Vision 2015, which segment do you see the biggest shortfall? And you mentioned that your capacity was maybe 12 to 24 months earlier, are you referring to the catalyst plans or the bromine expansion or both?
Luther C. Kissam: Yes. P.J., I think if I look from where we estimate it, if you go back and look, remember we talked about polymer margins being in the 30% range by that time. And where we are today, given the dynamics and what's going on with PCs and televisions, I have a hard time seeing us get to that kinds of margins given where we are today by 2015. So I think the one where we've got the biggest gap is on polymers, and particularly in that one area. When I talk about the being 12 to 24 months early, the bromine expansion, if you look at capacity today, we clearly didn't need that capacity for another 24 to 30 months. I mean, we could have gotten along with the capacity we had. So bromine was clearly early. And on Catalysts, it's a lull today. I don't know whether it's actually 12 months early or -- it's hard to tell, because you don't know what the economy is going to do. But it's clear that we don't need it today. So on both of those, we don't need them today, but in both of those instances, because of our market leadership position, we took the position that it was better to be early and be able to meet the demands of the market as opposed to being late and running the danger that someone else steps in and fills our shoes as the market leader. So that's the decision that we took.
P. J. Juvekar - Citigroup Inc, Research Division: And secondly, you talked about catalyst orders slipping. Is that mainly because of customer destocking? And I think you mentioned it's on polyolefins, but are you seeing that similarly in refinery customers as well?
Luther C. Kissam: Yes -- no. When I was talking about the order slipping, I was really referring to Refinery Catalysts. So it's not a destocking at all, it's just a matter of when they're going to turn around the unit and when do they want to make the purchase. Do they want to make it in this calendar year? Or do they want to make it in the next calendar year based on when they're going to do their turnaround, how they do their annual budgets and that. But it has nothing to do with destocking in that space.
Operator: Next question comes from David Begleiter from Deutsche Bank.
David L. Begleiter - Deutsche Bank AG, Research Division: Just a quick question, Luke. Your guidance for the back half on earnings basis per account was very helpful. Could you just give a little bit more color as to the margin cadence Q3 to Q4 and then for the full year?
Luther C. Kissam: Yes. What I'm going to do is I'll give that to Scott, and he can look at that on the specific margins. What I would say is, I think we're going to -- that the margins this year, you got to remember those additional costs that we've got coming through for the year. We have -- we've lost the – where [ph] are pass-throughs, that the impact of the metals pass-through as well as the startup costs that we've got, it'll be impacting margins year-over-year when you look at that. So I'd be mindful of those 2 specific incidents that we've got, it will impact those margins. At the end of the day, those margins remain strong, and I think that those are ultimately mid-20%, 30%, high 20%, 30% margins in that catalyst base going forward as we discussed in our Vision 2015. So, Scott?
Scott A. Tozier: Yes. So as you look at the second half, Catalysts, we'd expect the margins in the third quarter that are similar to what we had in the second, and we expect to have improving margins going into the fourth. So really tied into that volume that Luke talked about in terms of the sequencing in the second half, so.
David L. Begleiter - Deutsche Bank AG, Research Division: That's very helpful. And then just another follow-up on Polymer Solutions, you brought up a good point in that we might be seeing the secular shift away from PCs towards tablets. Have you guys thought a little bit more about raising the content on other electronics platforms going forward? Do you see that particularly there?
Luther C. Kissam: Absolutely. What we've done is we've got a bromine task force. And that bromine task force is, the job, their sole job is to find, first of all, new applications for bromine in general. And if you look at the GBU, they've got -- the polymers GBU has a corresponding task force looking for ways that we can spread our applications in flame retardants into other areas, not only in electronics, but other areas where we don't participate today. So looking for that is bromine, as well as our Gemini product and phosphorus and mineral products as well. So a lot of work going over there, and we believe these markets are still strong. And we've got to find ways to get into other areas of markets where we don't play today, to expand our footprint.
Operator: Your next question comes from Kevin McCarthy from Bank of America.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: In the Catalysts business, I think you outlined a whole host of different issues, some of which appear to be transitory in the first half around metal surcharges, customer turnaround activities, some startup costs that you have, PCS in Europe, et cetera, creating a lot of noise here. And so I'm wondering if you could just go back up to a high level and maybe opine on how you would view the structural growth prospects in your key catalyst businesses, let’s say, over the next 3 years at the industry level or at the Albemarle level. How fast do you think these businesses are growing, which might be growing faster than others? If you can just kind of reset the bar, because I think it's difficult to disentangle a lot of these moving parts here.
Luther C. Kissam: Yes. Thanks, Kevin, I appreciate that question. I think -- I love the Catalysts business, first of all. I think it's a good solid performance-driven business that delivers high margins for us. If I look at the growth and I look over the next 2 to 3 years, we've been public about the wins that we've seen in our high oil upgradings, our fluid cracking catalysts. We believe that our technology is strong for what we're going to see in a lot of areas of the world, where they're going to have to maximize that propylene yield, and that had to resid. There's the shale gas. Everybody's talking about light sweet oil in the U.S. and that is certainly there, but in emerging regions of the world. They're not going to be able to crack naptha, so they're going to look to be maximizing that propylene yield to the maximum that they can in areas of the world, and we believe our technology there. So I feel really strongly about the growth of our FCC business 2014 and on into the future. We got that business, we got to keep it, and we plan on keeping it. But our technology should be the winning technology in the bulk of these new units coming online. If you look at our win rate on hydroprocessing catalysts, it's going quite well. We've not lost any share, we hadn't -- I wouldn't say we gained any share, but we're winning the winning units that we would expect to use based on our technology and our relationship with UOP there for the new units. As you know, we've done quite well with those new unit wins, so that's been a strong partnership. And I continue to see growth in those areas of the world, particularly as you see the sulfur specifications in the areas around the world getting tighter and tighter, and that doesn't even talk about bunker fuels and things like that with regard to ship carries and things. So I continue to see a tightness in those sulfur specifications driving the use of our Clean Fuels Technologies. And Brazil's going to bring those units online. It's just a matter of timing. And when they do, we'll be there with our partners, Petrobras, to have -- capture more than enough of their share of that growing market. So that business should continue to grow. On Performance Catalyst Solutions and organometallics, we are the market leader with the world's low-cost position. And we make good margins about those products. We've got customers that are -- we've got other competitors trying to come in and become the market leader. But we're there, and we're going to maintain our market leadership. And we're going to capture more than our fair share of growth in these markets. We've worked too hard to let it go away, and we're not. So I continue to see strong growth in our organometallics and are excited about the possibilities in LED. If you listen to companies such as Philips, who has the bulk of the fluorescent market today, they're talking about the amount of volume they're going to see in LEDs and moving to LED lights. So I feel like that LED market from lights and backlighting, it keeps moving a little bit, seems to be delaying a little bit, but it's going to come. There are too many people in the industry, too many companies in that lighting industry, who are making it their commitment to move to that line of lighting. So we're going to be set there with the largest, best cost position from the key intermediates that are going to allow us to go downstream in this LED market. So I feel good about the long-term prospective for growth in LED and our organometallics. So all in all, I love Catalysts, it's got great growth, got great legs in the long term.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Second question, if I may just on clear brine, Luke, I would've thought those volumes might have increased in 2Q with the new bromine salt capacity in Jordan. Why was that not the case? And perhaps you could comment on pricing trends for clear brine.
Luther C. Kissam: Yes. If you look at pricing, what I would say is clear brines have held in there pretty fine. They haven't seen a whole lot of degradation in pricing in clear brines. It is what it is. On clear brines, it's not a matter generally of price, it's a matter of do you have the product in the area of the world where it needs to be, when they finished -- when they complete that well. So we hadn't seen a whole lot of price degradation there at all, it's been pretty solid around the globe. With regard to the volumes, they had a tough comp in the first quarter. It was the second-highest volume we'd ever had. And remember, Kevin, while we brought the JBC online and commissioned it in the second quarter, we didn't see any commercial production held from that in the second quarter at all. So I would think, to conclude the rest of the year, we're going to see similar volumes that we've seen to the first half, which would be a record year for clear brine fluids. So I feel like that business is in good hands.
Operator: Your next question comes from James Sheehan from SunTrust.
James Sheehan - SunTrust Robinson Humphrey, Inc., Research Division: Just wondering if the macro situation doesn't pick up any in 2014, what actions do you think you can do to generate greater top line growth? Or is there any specific -- company-specific leverage you can pull to increase the outlook for 2014?
Luther C. Kissam: Yes. I think if you're looking at that, I would not -- you should not expect that you're going to see another plan C like we went through in 2009. We are going to be committed to bromine task force. We're going to be committed to innovation and in intimacy with our customers to grow new products. That's going to be our focus. There are levers that we can certainly pull. There are opportunities for us from a cost standpoint, from a collaboration standpoint, from a partnering standpoint that would give us more leverage across our spend and across our revenue. I'm not quite sure that we could increase the revenue because of that, but we certainly would work to maximize our bottom line.
James Sheehan - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And a longer-term question on your mercury sorbents business, could you just update us on your expectations for the timing of EPA Mercury removal rules? And how much of a market share of that business do you expect to pick up?
Luther C. Kissam: Yes. On the mercury removal, I haven't seen any change from the EPA. I know there are some lawsuits, but our current expectation is that it's still a 2015 type of area in the U.S. for that registration. So I would expect that we would -- you would see some increased bromine use for that. I’d keep in mind that the Mercury removal, if you go to the EPA regulations, and you really need the 95%, that's really an activated carbon play. There's not as much bromine. I mean, the bromine put on that is insignificant compared to that as any carbon. So to have the material share of that, we're going to have to have a more reliable domestic source of activated carbon, and we've got -- we're working on that today. But absent being able to get a meaningful and reliable domestic source of activated carbon, our share in that market will be minimal.
Operator: We have another question for you, and this one's from Vincent Andrews from Morgan Stanley.
Vincent Andrews - Morgan Stanley, Research Division: Could you -- if we think about Catalysts, and we think about last year, there was some order deferral into '13. And now it seems like there's going to be some order deferral into '14, which you speak with confidence about the orders, and it's just a question of timing of shipments. Is there a way you can sort of frame that in terms of talking about your backlog of orders? And help us understand how much of the deferral out of '13 was realized in the -- I'm sorry, deferral out of '12 was realized in the first half of '13? And is there sort of a run rate of sort of a deferral time period? And where is your total backlog today versus maybe the second quarter, again, the second quarter a year ago?
Luther C. Kissam: Yes, that's -- it mainly, all that mainly is in clear fields technologies, okay? So when you've got -- our specific situation in the FCC that I talked about is there's a new unit coming online, and that construction is being delayed, I mean, their startup is being delayed. So sometimes you have those where you have construction being delayed. They tell you a date, you got to be ready to have the -- you got to be ready to have it there, the FCC catalyst there, so it can operate when it cranks up. If you really look at HPC catalysts, if you look at last year -- let's use last year as an example. In 2012, we moved roughly 22,000 metric tons of HPC catalysts. First quarter was about 6,500. Second quarter was, if my numbers are right, about 3,700. Third quarter, about 4,600. And the fourth quarter it was about 7,300. So it's a lumpy business. And what we've seemed to see over the course of the last few years is you've seen a heavier first and a heavier fourth quarter and then a weaker middle, and that's consistent whether you're going to see the turnaround. So you see turnarounds mostly in the first quarter because they want to be up and ready for the driving season that starts in the middle of the year. What I can't tell you is I don't know how much of that high first quarter is being pushed from the fourth quarter and how much of the fourth quarter is in anticipation of that first quarter. I just don't have data to do that. And we're not -- it's not backordered like you'd think about as if I was an engineer or in a construction company. So what we have to do is, when they tell us that they need their order, when we first go to produce that product, we got to have it ready at the earliest time when they say they may need it. Because if we don't have it ready when they say they need it, they're going to go somewhere else and get it. And you can do that once, but you can't do it twice. So we can't risk that, so we got to have the catalyst ready. And then we're kind of up to their desires about when they actually want to take it, and that's based on their budgets and a lot of other items. So I didn't really -- I don't know if -- that's about as good an answer as I can give you, Vincent. I wish I could do better, but that's where we are.
Vincent Andrews - Morgan Stanley, Research Division: That's very helpful. And Scott, if I could just ask you to elaborate a little bit on the working capital, and you said it was largely related to receivable. And you said there were some actions you're going to take in the second half that were going to help bring that down. So is there anything -- any more detail there? And just is there anything on your operating rate going into the second half that we should know about?
Scott A. Tozier: I don't think so. On the inventory side of things, we had built some inventory in anticipation of these HPC orders that we've been talking about. And so as those get shipped, those -- that inventory will come down. So that's a big driver. The fourth quarter is where a lot of that comes out. The operating rates within Polymer Solutions, the inventory rates of Polymer Solutions are very healthy in terms of inventory. The operating rates are holding steady with what they've been in the last couple of quarters, and so we feel pretty good about that. And then I think on the receivables side, it's really just a natural effect of collections coming through as we continue to drive to collect that cash that's built up in the first half.
Vincent Andrews - Morgan Stanley, Research Division: And so you’ll expect working capital to be largely flat year-over-year? By the end of the year? Or are like...
Lorin Crenshaw: That's my expectation. That's what we're pushing for. We'll see how well we do to get there.
Operator: We have another question for you, and it's from Laurence Alexander and he's from Jefferies.
Laurence Alexander - Jefferies & Company, Inc., Research Division: So couple of questions. First, can you sort of give a little bit of extra clarity around what you see being pushed from this year into next year that you are reasonably sure will be an incremental tailwind for next year? I mean, just in terms of gives and takes. And also, can you address the longer-term expectations around Fine Chemicals and Catalysts in terms of margins?
Luther C. Kissam: Sure. On the orders and what pushed and might be tailwind for next year, I'm not -- we're not trying to push anything into next year. I don't -- that's not how we're going to run our business. When the customer wants it, that's when we're going to get it to them. So I don't -- right now, we're expecting everything that they told us they're going to want in the fourth quarter is going to go in the fourth quarter. And if it doesn't, if it slides in the first, then it'll slide to first. But we're not going to try to push anything to get a tailwind. So, Laurence, there isn't really anything. I can't give you -- if one order moves, it might be $1 million. If another order moves, it might be $8 million. So I can't -- without knowing exactly what's going to move and what might not, I can't give you a good answer on that, okay? With regard to margins, I still believe that Fine Chemistry is a 20%, low 20% to mid-20% margin product if we get the right custom services contracts in there. And we've done that in the past, and I think that's where the sweet spot's going to land for Fine Chemistry. On Catalysts, there's not a reason in the world once we get some of these onetime year-over-year matters behind us, there's not a reason in the world I can't be a mid-20% to 30% margin business. We've done it in the past and we certainly expect that kind of profitability going forward.
Laurence Alexander - Jefferies & Company, Inc., Research Division: And I guess, just as a follow-up. In terms of what would you expect to see -- or what would you need to see in your external markets to bring the CapEx down closer to D&A?
Luther C. Kissam: What would I see? I'd be able to see a -- where, I don't see where I have a demand for new products. We've got 1 or 2 projects out there right now that we've actually have held up on, seeing what's going to happen with demand. Now, what's going to happen? And if we continue to see the kind of market demand in our key segments that we're seeing today, I think next year you'll see us closer to that level.
Operator: We have another question for you, and this one's from Mike Ritzenthaler and he's from Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Just a quick nuance on Catalysts in the back half as you see things now, and we appreciate the timing risk on things like that. But as it sits, refining asset utilization looks a bit better year-over-year. So in 3Q, what's the relative contribution of improved volumes based on those increasing asset utilizations versus that mix that you highlighted?
Luther C. Kissam: You're talking about from our increased utilizations?
Scott A. Tozier: No, no, from refinery.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Yes, the industry asset utilization improving.
Luther C. Kissam: Mike, I can't give you a good answer on that one. I'll have to get the data and get back with you. I only know what we are scheduling to ship from our customers. And what we're seeing is stronger FCC sales building during the fourth. We'll see a volume increase in FCC over the second half. And the way it's set up now in HPC, if the orders go as expected, the second quarter will be strong and the fourth quarter could be a new record.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Yes. Okay, that makes sense, I guess. And then on the Vision 2015, and following up on a couple of previous questions, the bromine task force -- is the thought that perhaps the adjacencies won't be able to fill in the TV and PC gap, is that a fair way to look at it? I mean, we're looking at the food safety, the bromobutyl rubbers and the different things that you've talked about before plus all the things that were kind of being worked on in the skunkworks?
Luther C. Kissam: Yes. If you look at all that, it's going to be a tough order to fill. We’re not -- what we're trying to do is this, if you really look at where we are today, we're a catalyst and bromine company. And we've got to have a focus on growing the pie, not the share, but growing the pie in bromine, okay? And new -- if you look at who's got capacity around the world, new uses of bromine benefit us more than anybody else in the industry. So we've got to have a dedicated focus to driving new applications for bromine, and that's what -- we've initiated that. And it's too early right now to give you any indication about what areas we may be looking at, what the opportunity costs or all that there. But we've got metrics, we've got milestones and we've got a list of credible opportunities for us to go after in that regard.
Operator: We have another question for you. This one's from Mike Sison from Keybank.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Luke, when I think about your portfolio of businesses, I agree that the economy's sluggish this year. But when you think about the earnings decline, you're going to show us, particularly, if you exclude the stock buyback, it sort of mirrors the decline that you saw in '09, yet you would think that -- I don't think the economy is as bad as in '09. So are you a little surprised in terms of the -- your outlook for earnings this year? And maybe just walk us through how much of the decline is, let's say, economic-related, some of the pushouts and maybe self-inflicted in the sense that you've got these costs coming in. Because I would've thought this portfolio of businesses could have performed a little bit better.
Luther C. Kissam: Yes. Well, you got to look at the comparisons, first of all. So if you look at Catalysts, we got 2 things. We got about $40 million or $50 million hitting it year-over-year between the startup costs, the volume absorption loss and the rare earth pass through. So that’s $50 million a pop right there. And how much of that is self-inflicted, how much of that is market? I can't tell you. We've been operating in polymers. If you look at electronics, we've really been in a trough since 2011. So in 2009, what happened is the world ended. Nobody took any volume. It didn't matter what price you offered, because nobody was taking it. We've been now in a trough for probably 18 months, 18 to 24 months, if you really look at it, because there was some false demand in 2011 in the first half.
Scott A. Tozier: And '12.
Luther C. Kissam: Yes, and the beginning of '12. So if you look at that, we've really been in a trough. So people get antsy in a trough and try to start biting off a little bit here, and we were having to protect it. So we lost some price, Mike, on that one. So is that economic or is that competitive? I don't know. So I think that even in this downturn, you got to remember, we've got 22% EBITDA margins, okay? Now we want to do better. But in the economy that we're working in with those kind of headwinds, and you're right, some of them were self-inflicted because we invested early, intentionally did it. 22% EBITDA margins under those conditions still shows you a strong business. It's going to throw off great cash flow.
Michael J. Sison - KeyBanc Capital Markets Inc., Research Division: Okay. And then given the balance sheet, what are your thoughts on maybe growing via acquisition? It's tough to grow organically, clearly, in this environment. Are there opportunities either to continue to build upon your businesses, or would you even consider something new, maybe a fourth leg or something to that degree?
Luther C. Kissam: Yes. I don't feel the need to do an acquisition for the sake of doing an acquisition. I think that our strategy is sound, and I think that we've got the opportunities in all these businesses to continue to grow. But we're certainly in the market looking at acquisitions. I mean, there's one, particularly in the Catalysts area. Dow's got a UNIPOL business that's up for sale. Well, certainly, I'd be looking at that business. And because it's right in our sweet spot from a catalysis standpoint, as I'm sure will a lot of other catalyst companies. So we're looking, we got a strong balance sheet. We've demonstrated in the past the ability to lever up both for acquisitions, as well as to return capital to shareholders. And we'll continue to balance that act and do both.
Operator: I'd now like to turn the call over to Lorin for closing remarks.
Lorin Crenshaw: Well, we appreciate everyone's time and interest in the company and would encourage you to call with any further questions. Thank you, and have a great day.
Operator: Thank you. Ladies and gentlemen, that concludes your conference call for today. You may now disconnect. Thank you for joining. And enjoy the rest of your day.